Operator: Good morning and good afternoon ladies and gentlemen and welcome to the Sasol Interim financial results conference call. Today's call is being recorded. Today's call will be hosted by David Constable, Chief Executive Officer and Christine Ramon, Chief Financial Officer. Also on the call today will be the following members; of the group executive, André De Ruyter; Giullean Strauss; and Bernard Klingenberg. Following the formal presentation by Sasol management, an interactive Q&A session will be available. A copy of today's live presentation is available on www.sasol.com. I would now like to hand the call over to David Constable. Please go ahead, sir.
David Constable: Yeah thanks very much Careen. Good morning, good afternoon and good evening everyone and thank you for joining us on the conference call today. We are pleased to be announcing record interim earnings today at Sasol which continues our strong track record of delivering superior shareholder returns. Turning to slide five of the presentation, which you have in front of you. Let me start with an overview of what you're going to hear today. First of all, to our financial performance, we will be announcing record interim earnings. It's always encouraging to have a positive story to tell. Our record earnings are due to the fact that we have delivered a solid operational performance supported by the macroeconomic trends. Next, we will highlight our strategic agenda which continues to service well. In terms of our growth, the energy market dynamics continue to be supportive of our GTL value proposition as the need for energy security and energy diversification prevails globally. Here our project pipeline offers significant opportunity and is gaining traction as we continue to bring projects along into the implementation phase. And finally the company remains an extremely compelling investment proposition. To frame our key messages, I will begin with some high-level introductory remarks, followed by Christine who will go into more detail in the financial and operational performance of our businesses. I will then review Sasol strategies and initiatives going forward and open it up for any questions you would like to ask us. So let's turn to slide six and start with a broader environment and how it is shaping our priorities at Sasol. Most people would agree that despite cautious optimism in 2011, it is evident that the world’s economies are still limping along and clearly this has an impact on the petrochemical, oil and gas sectors. In the short-term, the global downturn which is now in its fourth year has reduced demand, but over the longer term the trend is increasingly upwards. Driven by industrialization in the developing economies, global energy demand will continue to rise and will be approximately 30% higher by 2014. The most widely used fuels will remain oil, coal and gas. An overtime natural gas will grow dramatically versus oil. The shift to less carbon intensive sources like natural gas and the quest for improved energy efficiency will shape demand. Energy trends will also be influenced by an increasing demand for power and by 2014, it's expected that approximately 30% of global electricity demand will be produced through natural gas. 30% of global gas production will be through unconventional sources like shale gas. It's true that gas will continue to shape our future in more ways than one. Sasol is well positioned to benefit from this demand in growth as we move into this golden age of gas. First, we already serve many of the large growth markets in Africa, Asia and the Middle East. Second, we are the world's largest producer of synthetic fuels. Third, for more than six decades, our growth has been premised on our technical expertise in converting gas and coal into liquid fuels and chemicals. Finally we recognize that a real and informed commitment to sustainable development is integral to achieving our long-term strategic objectives of the company with gas being a clear bridge to the future. I won’t dwell on slide seven and eight of the presentation. The slides are self-explanatory and reflect in summary terms, the positive contribution that Sasol continues to make on a number of fronts in South Africa and abroad. Instead let's go straight to slide nine, pursuing responsible growth and ensuring sustainable operations. Safety improvement remains a strategic imperative for sustainable operations, after a record-setting 18% improvement in our 2011 financial year, we have maintained a low recordable case rate for employees and service providers at 0.43 for the half year. This is comparable to the recordable rate of 0.42 at the end of the previous financial year. The implementation of our businesses and specific safety improvement plans are beginning to deliver positive outcomes and every effort is being made to ensure that this trend continues. Energy efficiency is obviously a top priority for Sasol and we continue to make good progress. We are on track to achieving our target of reducing energy consumption by 15% by 2015. We are also making good progress on increasing our self-generated power capacity which is expected to be at 60% by 2013. Towards the end of last year Sasol worked with the South African government and other stakeholders as an active member of Team South Africa to ensure that COP 17, the international climate change negotiations were successfully hosted in Durban. Through our participation in various events, we were able to build awareness and the issues we faced in response to climate change challenges. We also showcased the progress Sasol has made in moving towards lower carbon and more climate resilient economy. In particular we were able to highlight the role of gas as a bridge to a lower carbon economy and our progress with respect to improve energy efficiency. Going forward we will continue to engage with South African government and other stakeholders on climate change related policies and initiatives to find workable and sustainable solutions. Turning to our operations highlights on slide 10. And as I said earlier, Sasol delivered a solid operational performance despite some challenges. Our international operations delivered improved production performance Arya Polymers ramping up to design capacity and Oryx GTL achieving 89% utilization. New to our operating results is a contribution from the recent Canadian upstream acquisition. The shale gas assets produced 6.7 billion standard cubic feet of natural gas over the period and our chemicals cluster continues to maintain a strong contribution to group operating profit. At Synfuels production was impacted by a three-week long industrial action and two fire incidents. These events were dealt with swiftly by our people who managed to contain the decrease in Synfuels production to 1.3% compared with the prior period. In terms of our financial performance summarized on slide 11, our operating profit was up 70% to ZAR20.5 billion. And our earnings per share were up 81% to ZAR23.50, a new record first half performance for Sasol. Cash generated by our operations was up 50% to ZAR22.7 billion, enabling an increase in the interim dividend of 84% to ZAR5.70 per share which is in line with our progressive dividend policy. Our strong balance sheet supports this dividend and allows us to fund our future growth aspirations. Let me now hand over to Christine, who will unpack our interim results in more detail. Christine?
Christine Ramon: Thanks David. Good morning and good afternoon to everyone online. It’s certainly my pleasure to present an excellent set of results to you today, but before I get into the details of the half-year performance, I'd like to make the following three observation. Firstly, proactive management actions to contain costs as well as operational and business improvement strategies have boosted profitability and contributed to strong cash flow. Secondly, our strong balance sheet has already enabled the advancement of our growth plan and continues to position us well to fund growth amidst the still volatile and uncertain global economic environment. And finally, our record interim dividend which beat market consensus views reinforces our commitment to provide consistent, attractive returns to shareholders in line with our progressive dividend policy. In seeking the economic scene for the half-year the move to slide 13. We see that the period under review was characterized by predominantly favorable macro economic environment or even commodity process was strong and the rand –dollar exchange rate was 7% weaker than the comparable period. As the period under review progressed, chemical process continued to suffer due to lower demand in downstream market. Softer market conditions are expected to continue for the rest of the 2012 calendar year as the developed economies are expected to start recovery towards the end of the year. The recovery in the European markets are only expected in 2013. You will note the low Henry-Hub gas prices in the top left section of the graph, reflecting the increasing disconnect between gas prices and crude oil prices in the US. Although this has a negative impact from our Canadian operations in the short-term, in the longer run this is positive for our GTL value propositions. In addition, the low gas processes are also positive for our chemical operations in the US, which utilize gas ethane feed. South African PPI, which is more relevant to our operations was 10% for the past periods. This together with the weaker rand-dollar exchange rate contributed to a challenging cost environment. We continue to remain sensitive to oil prices and the rand-dollar exchange rate and we remind you of our sensitivity to each of these variables. We estimate that for every 10 cent change in the annual average rand-dollar exchange rate, it will impact our operating profit by nearly ZAR1 billion and for every $1 change per barrel in the annual average crude oil price it will affect the operating profit by approximately ZAR670 million. Moving on to slide 14, we saw strong growth in our group operating profit on the back of an overall solid group operational performance and the favorable macroeconomic environment, as reflected in the 7% expansion of the group operating margin to 25%, just 1% short of the operating margin achieved in 2008, a record earnings year. The improvement in operating profit was achieved despite a reduction in group volumes. As David mentioned plant incidents and an industrial strike action negatively impacted volumes in South Africa. In some of our global operations production was purposely reduced to match lower demand and optimize margins. Production increases at Oryx GTL and Arya Sasol Polymers compensated for lost gross margin in value from Synfuels level production. This reinforces the robustness of our geographic and to portfolio diversification strategy, which brings good balance to our portfolio, both from an operations and market perspective. Our international operations contributed 28% to group operating profit with the US, Europe, the Middle East and Mozambique being the main contributors at this stage. Through our international energy cluster, our investment for growth is delivering attractive returns, contributing 6% to group operating profit for the half year. In particular, we saw a strong performance from chemicals, which continue to sustain a strong contribution to the group’s operating profit at 21% contribution, despite increased oil-related feedstock cost. Included in the ZAR1.5 billion from other, is the positive impact of mark-to-market gains on the Canadian dollar forward exchange contract of approximately ZAR1 billion of which ZAR750 million in unrealized. Moving on to slide 15, we see that the past year was challenging from a cost perspective with cash fixed cost reflecting a 3% increase in real terms including the 1% impact of gross cost. The impact of inflation added 8% to our cash fixed cost with the weaker rand, extraordinary plant maintenance and increased energy cost, adding a further 4%. Our main cost drivers are labor and energy cost. Labor cost for the year are expected to increase by between 8% and 8.5%. and energy cost inflation in South Africa was about 25% for the past period. It was announced recently that the average electricity price increase will be reduced to 16% with effect from April 1, 2012 until March 31, next year. With electricity increases falling well above inflation, one of our key strategies to contain electricity cost in future, is to become more self-sufficient by generating more electricity for our own requirements. We remain on check to increase our electricity generation capacity from the current 50% to 60% in 2013, as David said earlier. In addition to improving production reliability, further cost savings will be achieved through our functional e3xcellence program, which is in a stabilization phase and has to-date delivered an excess of ZAR1 billion in cost savings with more savings to come. Further sustainable savings will be achieved through the standardization and consolidation of our SAP systems in the group. Adequate time is being invested to ensure that our SAP system is ultimately designed and implemented to take cognizance of our diverse, business requirements before we proceed. Moving on slide 16, we see that the SA energy cluster remains a strong profit and cash flow generator contributing about two-thirds to group profitability. Sasol mining operating profit of ZAR1 billion was up 42% after excluding the once-off Ixia coal share-based payment of ZAR565 million in the prior year, on the back of increased production volumes of 2% and higher US dollar coal export prices as well as increase in oil prices Sasol Synfuels, which together with the impact of the weaker rand resulted in significant operating margin expansion to 20%. Sasol gas operating profit improved, mainly as a result of higher prices and higher volumes, which were boosted by additional pipeline capacity since they have been the last year. Sason Synfuels contributed three quarters of the SA energy clusters operating profit. Synfuels benefited from the higher average rand oil prices and delivered an impressive operating margin of 44%, despite lower production volumes. Cash fixed cost per unit increased by 13% largely as a result of extraordinary maintenance and increased energy imports, due to plant instabilities and lost production. Sasol oil benefited from higher wholesale margins and the weaker rand and that was despite lower production and sales volumes, due to Natref extended plant shutdown and an industrial strike action. Moving on to slide 17. We see that the international energy cluster is our growth engine and we continue the investment for growth in the form of feasibility studies and exploration expenditure. Oryx remains our showcase for our GTL Technology and drove the significant increase in SSL’s operating profit on the back of higher volumes and higher oil and product prices. Oryx-GTL delivered a strong performance achieving average daily production of 28,700 barrels a day and achieving an average utilization rate of 89% which is at the upper-end of our target range. The decline in SPI’s operating profit resulted primarily due to the newly acquired Canadian operation. Although, we are delighted with the additional volumes about 6.7 billion scf [standard cubic feet] produced from our Canadian shale gas venture. Profit from this part of the business was negatively impacted by depressed natural gas prices in North America coupled with negative foreign exchange translation effects and depreciation on the recently acquired gas assets. The depreciation had a material impact and added ZAR400 million to SPI’s total depreciation. The current depreciation charge is high due to the carry arrangement of our partner’s capital expenditure. We are pursuing various avenues to optimize productivity and reduce both the cash and non-cash costs in our Canadian shale gas development. David will speak more about our Canadian assets a little later. Moving on to slide 18. Chemicals delivered a 26% growth in operating profit and as a testimony to our sound business model expanded margins marginally despite tough markets and rising oil related feedstock costs. Our Polymers business was the hardest hit by poor gross margin. The average margin above oil in the fourth quarter of 2011 for the Asian Polymers basket was $381, way below the trend value of $600. The global polymer industry is under severe stress due to the oversupply and Asian ethylene crackers based on naphtha are experiencing negative cash margins. Sasol Polymers saw strong contribution from the international operation, while the local business was under pressure as a result of low international polymer prices, while margins were impacted by higher oil related feedstock costs. In addition, local production declined by 6% due to feedstock unavailability. Both the EPU-5 and C3 stabilization capital projects which are expected to come on stream at the end of calendar year’s 2012 and 2014 respectively will improve the feedstock availability for the local business. The international operations contributed ZAR937 million to Polymers’ operating profit. Arya Sasol Polymers ramped-up to designed capacity during the period under review and reported an average year-to-date capacity utilization rate of 81%. As announced last year, we have entered into discussions with a view to potentially reducing of our stake in the Arya Sasol Polymers business. Although, this operations contribution is significant to polymers it is a relatively small contributor at Group level at less than 5% contribution to Group operating profit with carrying value of assets of about ZAR4 billion. Further announcements will be made once sufficient progress on this divestiture has been made. Solvents had a great year with operating profit increasing by 153% to ZAR1.1 billion and the operating margin expanding by 7% to 12% compared with the prior year. This is mainly due to prevailing product process and a weaker rand, which negated deteriorating market condition. Production volumes are either reflected to decline compared to the prior year, as a result of outages at production facilities as well as production cutbacks due to market constraints. Sasol O&S remained the largest contributor to the chemical clusters’ operating profit at about a 38% contribution and increased operating profit on the back of strong volumes, particularly during the first half of the period with the business reflecting a half year operating margin of 9%. Our Other Chemical businesses’ operating profit increased by 21% to ZAR1.1 billion compared with the prior year. Higher double-digit margins were achieved in the Nitro value chain despite lower fertilizer sales volumes, due to exiting the retail fertilizer business. The improved operating profit was supported by the weaker rand and includes a once-off profit of ZAR120 million resulting from the sale of Sasol Nitro’s Phalaborwa operation and certain of its downstream fertilizer businesses. Moving on to slide 19. Cash generated by operations was up 50% to ZAR22.7 billion and underpins our strong balance sheet giving us the flexibility required in uncertain credit markets where the cost of funding has increased. In the current climate, we continue to focus on strengthening working capital management and monitoring credit exposure and counterparty risks. Our gearing remains low at 7.2% and excludes cash restricted for use at ZAR7.8 billion. We have sufficiently room in our balance sheet to provide a buffer against volatility, fund for liquid growth opportunities, as well as grow dividends to shareholders. Capital investments for the period totaled ZAR14.5 billion. We have revised our capital investment estimates down for 2012 to ZAR29 billion from ZAR31 billion in-line with the revised schedule in Canada. The 2013 capital investment estimate remains unchanged at ZAR32 billion. Approximately, two-thirds of these estimated capital investments will be spent in South Africa and a large portion of future growth capital investments will be allocated to growth projects. About 25% to the international energy business which is in line with our strategy to grow the upstream business to enable accelerated GTL growth. Further potential gas acquisitions will be on top of these estimates. In line with our strategy, we are growing chemicals based on feedstock and/or technology advantage and we see growth in the capital allocation for chemicals in this regard. Moving onto slide 20. Dividends continue on an upward trajectory with a new record interim dividend of ZAR5.70, up 84% from the prior year. Our dividend yield of about 4% positions us competitively with our peer group and reinforces our commitment to deliver superior shareholder returns. This is also being endorsed by our total shareholder return of 77% as calculated over the past five years. Moving on to slide 21. In terms of the outlook for the rest of the financial year on production guidance, Synfuels remains on track to deliver between 7 million tonnes to 7.2 million tonnes of product, which is in line with our production guidance given last November. Internationally, our RXGTL is expected to achieve full year utilization rates of between 80% and 90% of nameplate capacity, while Arya Sasol Polymer company would exceed 80% utilization. We will be growing volumes in Canada despite initial production delays. Although the cost environment in South Africa remains challenging, our aim is to contain normalized cash fixed costs between inflation. Amidst a still volatile and uncertain macroeconomic environment, we expect to benefit from strong oil prices. There is likely potential upside to the oil price given the geopolitics. The chemicals division is expected to maintain solid operating margins, despite softer demand and prices. Finally, the strengthening of the rand remains a risk, however we are well-positioned to deliver increased earnings for 2012 financial year. In conclusion, we have taken proactive measures to grow profitability and ensure sustainable performance that are delivering results. Our strong balance sheet and healthy cash flow continues to provide a buffer against the still volatile global economic environment, whilst positioning the company well to fund selected growth opportunities and deliver attractive returns to our shareholders. Thank you for your attention and back to you, David.
David Constable: Thanks very much Christine. On to slide 23, this is a familiar slide to most of you, the group strategic agenda. Our current strategic agenda remains unchanged as it continues serve us well in the near to medium term. Sasol’s sustainable growth will continue to be driven through upstream feedstocks, downstream alternative fuels, chemicals and new energy opportunities. However with a view to updating our long-term strategy towards the end of October last year, the Sasol management team held its annual long-term strategy conference. Together with other delegates, the group executive committee discussed how to best optimize our businesses and how to manage the exciting growth prospects available to us. We also discussed adjacencies for growth beyond our current portfolio of technologies and businesses. Turning now to how we execute our strategic agenda. Slide 24 depicts our project pipeline. Let's look at the first row, accelerating GTL and focused CTL growth. We are continuing to evaluate our strong position in the GTL market space as we enter the golden age of gas. We are currently conducting studies for GTL facilities in Canada and Louisiana. As previously guided, these studies will be completed in the second half of 2012 and calendar year 2013 respectively. In Uzbekistan, we are making good progress with the front-end engineering and design for the 38,000 barrel per day GTL plant. And you should expect more news on this project next year. Turning to the second row. Growing chemicals on the basis of technology or feedstock advantage. Last November we approved a feasibility study for worldscale ethane cracker in Lake Charles Louisiana. We subsequently kicked off the work and are planning to conclude the study during 2013. Also in Lake Charles construction began in December with site preparation for our ethylene [texturization unit]. Our R&D teams are looking at other opportunities to commercialize this unique and profitable technology. Turning to our FT Wax expansion plan in Sasolburg, the beneficial operation date for Phase 1 is now scheduled for June 2013. Looking at New Energy in the third row. Our New Energy business is progressing through various alternative energy stage, which includes solar, hydro and underground coal gasification. In addition Sasol New Energy has partnered in Mozambique gas-fired electricity generation project which is currently in the feasibility phase for a 140 MW plant in Ressano Garcia. During the period and similar to the Mozambique power plant, New Energy began construction of a 140 MW power station in Sasolburg. The plant will also utilize natural gas at its feedstock and is scheduled to reach full capacity during the 2013 calendar year. Turning to the fourth row, improving and growing our existing asset base. A final investment decision has been made on our C3 stabilization project in Secunda. This project will improve the extraction of propylene for high-value chemicals purposes and will smooth out supply fluctuations in the value chain. Beneficial operation is scheduled for calendar year 2014. Another very important project currently in implementation is our Secunda growth program. Our Synfuels team has successfully commissioned the 10th Sasol reactor and the 16th oxygen train which are delivering to expectations. Construction on the gas-heated heat exchange reformer project continues. In related projects, the first of four new gasifiers was commissioned successfully, with the commissioning of the 17th reformer expected in the second quarter of the 2012 calendar year. If all goes according to plan this will allow us to uplift the Synfuels baseline to 7.4 million tons per annum during the 2013 financial year. Now I'd like to highlight the activities of Sasol Mining as they enter a very important phase of their history to the replacement of three of their five mines in Secunda. Progress has been made during the period on extending our reserves at Sasol Mining. The construction of a mine which will support the long-term coal export market continues to progress with an anticipated completion date towards the first half of the 2013 calendar year. The construction of its further two collieries at a total estimated cost of ZAR9.8 billion is expected to be completed in 2015 and 2016, respectively. Our ethylene purification unit project in Sasolburg will yield additional ethylene to allow our polymers plants to run continuously. It’s expected to be in operation during the second half of the 2012 calendar year. Looking to the bottom of the slide in our upstream business, we are pleased to report that the expansion of our central processing facility in Mozambique has been successfully completed. This will now allow for gas production ramp up in Mozambique to a 183 million gigajoules. I'd also like to add that we will be doing exploration drilling offshore in Mozambique in our M-10 license area towards the middle of this year. This remains a strategic part of our upstream portfolio. Finally, I'd like to provide you with a more detailed feedback on our Canadian upstream assets, let's turn to slide 25. Despite experiencing some costs and production challenges in developing our shale gas field in the Canadian Montney Basin, we've managed to achieve a peak rate of a 107 million standard cubic feet per day of production at Farrell Creek on the 27th of December. We are also encouraged as Cypress A continues to produce well above expectations. Our development plan for 2012 has been curtailed to respond to the current low gas prices, but this allows for further appraisal activities. The medium and long-term ramp up profile will be fully aligned to feed our GTL aspirations and our assessment of the gas reserves in Montney remains intact. Turning to slide 26, it always makes a good business sense to diversify a company like Sasol's portfolio, extracting additional value from related businesses such as chemicals is vital. At Sasol, our chemicals business currently accounts for over 21% of operating profit and we have gained strong positions in many of our chemicals markets, by making the most of the entire suite of products and optimizing integration opportunities, risk is spread and value is maximized. Our chemicals business diversify our portfolio and provide balance to our alternative fuels technology efforts. To my final slide and in closing, clearly Sasol remains a compelling investment proposition. To ensure that we continue to build on our successes into the future, we are focusing on optimizing our foundation businesses and on maximizing our growth opportunities. We have proven over six decades that we can operate and continuously improve large scale Synfuels facilities. As you have heard today our businesses remain highly cash generative, supported by our focused delivery on cost containment and excellence in all we do. Our growth strategy is a compelling one with our project pipeline clearly playing to our strengths. There continues to be a growing need for countries to secure a supply of energy. For many countries particularly those with stranded coal and gas reserves, in-country conversion of these resources into liquid fuels not only improves energy security but also improves the country’s economy. Sasol technologies can monetize these hydrocarbon resources, producing liquid fuels and chemical products, which stimulate further downstream manufacturing. We've demonstrated our ability to develop, commercialize and improve our technology ORYX in GTL in Qatar is a perfect example of this and we are well- positioned in emerging markets which is where global growth and demand for liquid fuels will come from. Finally, we delivered superior returns. Our solid balance sheet underpins our ability to increase capital expenditure to grow the company by investing in our areas of strength. Our highly cash generative foundation businesses allow us to pay attractive and progressive dividends. Sasol continues to deliver market leading results. As Christine mentioned, total shareholder return over a five-year period assuming dividends are reinvested is 77% in rand terms. Moreover, our dividend yield of over 4% compares very well with the market of 2.6%. Clearly, Sasol is a company that offers a compelling investment proposition and has over the years, repeatedly delivered results. Together with the management team we are very excited about the opportunities which lie ahead with Sasol. With that, we will now be happy to open it up for questions from those who are in the call. I will just return over to the operator. Careen?
Operator: Thank you. (Operator Instructions) We will take our first question from Gerhard Engelbrecht from Renaissance Capital. Please go ahead.
Gerhard Engelbrecht - Renaissance Capital: Good afternoon and thank you. I have a couple of questions and most of them are around the production at Synfuels. Production was down just over 1% but Christine also alluded to feedstock availability issues on the polymer side. I guess my first question is, does this signal that the cracker, the FCC cracker is not operating the way that you are expecting it to operate? Secondly, just following on the strike that you had earlier in the period, I gather you struck a one-year deal with the labor force and if memory serves me correctly, this is the first time that you lost production due to a strike. What is the outlook for labor action in the future? Are you close to these developments? Then lastly, I see some of the projects in Secunda like the gas heat exchange reformer and the water recovery projects are pushed out to 2013. When do you expect to get volumes at the facility up to around 7.5 million tons?
David Constable: Great. Thanks Gerhard for the question. Let’s start with the production at Synfuels and also the feedstock on the polymer side. Bernard.
Bernard Klingenberg: Gerhard, its Bernard, thank you. Look we were down as Christine said [1.3%] in the first half. The FCC run well and until we took a shutdown in December, the shutdown was done according to plan and in fact the FCC runs according to plan as we speak. So I don’t think the FCC is the key issue. David do you want me to talk about the labor as well?
David Constable: Sure. Please, on the strike as well, and what happened there last year was solidarity and then….
Bernard Klingenberg: On the strike, as you mentioned, Gerhard, we did last year quite an extended strike and eventually took down the plant for a short period and it had an impact on production. We don’t have a multi-year deals. So we anticipate to get in to some very tough discussions again this year as an industry. We can't say it exactly what will happen. It would be difficult to preempt that, but we don’t have a multiyear deal.
David Constable: And then maybe fell up on certain projects being pushed out and the question around volumes then when we would be getting a 7.5?
Bernard Klingenberg: All right. In terms of your last aspect, the GHHERs are on schedule to be done later this year. We anticipate the 7.5 being achieved at the end of the next financial year or the beginning of financial year ’14, based on 7.5 should have been achieved.
Gerhard Engelbrecht - Renaissance Capital: Thank you very much. This may a follow up, I mean why was there not enough feedstock in for polymers if production was down only 1% and where in the system do these problems lie, if I may ask?
David Constable: Andre please.
André De Ruyter: Gerhard, this is Andre. I think the answer lies in the highly integrated nature of the Synfuels and polymers facilities. The fact that when there is a upstream of the polymers plants, we don’t necessarily always have the storage capacity to absorb the additional feedstock or to make up for shortfalls and that is the reason why we are pursuing EPU-5 as well as the C3 stabilization project. It’s precisely to cater for this eventuality and to take in and build in a bit of a better buffer capacity to give us more of the breathing space in the event of a production upset.
Operator: We will take our next question from Jarrett Geldenhuys of Deutsche Bank. Please go ahead.
Jarrett Geldenhuys - Deutsche Bank: Just a couple of questions. The first one is just on Arya, if you can just go update us on what you intend to with any of the cash that comes on to the balance sheet from this disposal. Do you see restricted cash on the balance sheet to JV that is up to 5 billion. So I would just like an answer there if possible and just follow on from Gerhard’s question regarding Synfuels volumes, I mean if we assume you are going to get the upper end of your 7.2 million for your guidance, that means almost 3.8 million tons for the second half. So if you annualize that that’s 7.6. Is this the number that’s higher than the 7.5, which we regarded two years times. So if you can just can expand the differences there? And then just lastly if you can comment on your growth strategy in the US? I look at which projects are you guys more excited about, is it more the ethane cracker or is it more the GTL? And how do we think about capital allocation between the two projects? Thank you.
David Constable: Thanks Jarrett. May be I’ll ask Christine to talk us through the cash at Arya and what’s happening there?
Christine Ramon: I think as you know, now we do have the cash ring-fenced in separate bank accounts both offshore and in South Africa, but your question was more relating to what will we do with the proceeds. As you know that the ether proceeds are underway and we’re talking to potential buyers for the asset or for the operation as such, and I don’t really want to preempt the outcome of what we decide to do with the cash. I think it will be assessed at that point in time. You are very well aware that we are pursuing a very ambitious growth strategy and we are pursuing further gas acquisitions and clearly depending on the size of that we will need to assess at that point in time what we do with the cash.
David Constable: Jarrett on Synfuels volumes, in the second half Synfuels looked very strong; after coming out of the shutdown in October they have been performing extremely well. So our guide to 7.0 million to 7.2 million tons is looking like we’ll be in that range and Bernard, you want to add anything to that?
Bernard Klingenberg: No, I think the important thing is we’ve seen the last three months for example have been very positive, but we really want to stick to our guidance of between 7 million and 7.2 million for the rest of the year. I think your question is, is 7.2 million possible? We have guidance of between 7 million and 7.2 million and I think we really need to stick to that; we are seeing positive signs. But we continue to look at our plant everyday and carefully analyze and work on the challenges that we have and the opportunities.
David Constable: Thanks, Bernard. Jarrett, growth strategy in USA, GTL versus ethane; we are extremely excited about both of those projects and are focused on moving them down the field in parallel. So at this point, we are still waiting to see the feasibility study results so that we can get a better handle on what it looks like and get into more detail on capital cost and schedules and rates of return. But they both look very strong to us and we are very excited about both and Giullean do you have anything else to add?
Giullean Strauss: No, just to what you said.
Operator: We’ll take our next question from Caroline Learmonth from Absa Capital. Please go ahead.
Caroline Learmonth - Absa Capital: Thank you. Caroline Learmonth from Absa Capital. And can you comment on Arya in terms of the period until you dispose of the business in lines with your plans? And can you explain to us any issues, financial or otherwise in terms of carrying out operations in Iran in the current sanctions environment? And then my second question is on South African Polymers, so it looks like that part of your polymers business is significantly challenged in the current environment. Can you talk a little bit about the sustainable profitability you see for that business and how you can get back to those sort of levels? Then finally, on NIM [net interest margin] costs and you talked quite a bit about potential cost savings and continuing cost savings. Can you give us any -- you talked a bit about your SAP project, etcetera. Can you give us any specific examples of where you can still get cost savings as to the businesses and how much that could be for that specific example? Thank you.
David Constable: Thanks, Caroline. First, Arya and the period up until disposal, and so Andre you want to try that or…?
André De Ruyter: At this point in time, the plants are running well; I think you have seen that we achieved some pretty good utilization rates and the plants are running at planned capacity. We are being extremely cautious and careful in how we procure space and supplies for the plants and we’re very sure that we do so in a compliant manner. And we will continue to do so in a way that to make sure that we stick to the requirements of US and UN and EU sanctions. At this point in time, it is still entirely possible to do so, and the team on the ground that we’ve got there, actually are doing a great job at keeping the plant running in challenging conditions, so we are still keeping the faith in terms of running the plant well. In terms of South African polymers’ sustainable profitability, yes, you’re right. We have experienced significant margin pressure as Christine has explained during her part of the presentation. It’s really bit of a perfect storm that we are experiencing in polymers besides from the margin pressure we have also experienced a spike in our fuel alternative value feedstock pricing to this business unit, of course some fuels derives the benefit of that in its margins. So, on an integrated value chain basis the situation is not as depressing as the South African polymers numbers in and out itself that it would seem to suggest. We are taking a very long and hard look at how to improve utilization of our polymer plants, and for this reason, we are pursuing the EPU-5 and C3 stabilization projects. We are also looking at further cost savings opportunities in the polymers business and we have launched an initiative to critically examine our margins and our net-backs and these efforts have already started to yield some pretty impressive results. So the ship is turning. It’s a big ship; it won't turn immediately. But I think polymer producers everywhere, particularly those that are linked to an oil related feedstock are experiencing similar difficulties and in fact, we are not worst off in the world as Christine alluded to the Asian polymer producers that are sitting at negative cash margins. So yeah we are hanging in.
David Constable: Thanks André. The last question Caroline have is around cost savings and certainly cost containment within inflation is our definition of victory with respect to cost and we’re certainly not leaving any stone unturned and the budget is processed and are coming up here in April that we’ll be taking a very close look at certainly from a headcount perspective, staffing level perspective to make sure we are in line and are being as productive as possible. But maybe Christine can add some other color on SAP and functional excellence?
Christine Ramon: Okay, thanks David. I think and specifically relating to cost, I would like to reinforce the commitment and we do say containing cash cost within inflation on a normalized basis. I think quite importantly why we use the word normalized is because we are a business that’s investing for growth. So once growth costs will actually be shown separately and so cost from a normalized perspective would be cost compared on a like-for-like basis year-on-year. So certainly, from a growth perspective, we do expect growth cost to increase and typically that would relate to the Canadian operation and businesses like SSI and SPI where we are investing for growth and increasing headcounts in those particular businesses as well. When it comes to functional excellence, I spoke about the cost reductions and/or savings that we’ve achieved ZAR1 billion. And we certainly expecting to see further savings in the future, I wouldn't like to indicate at this point in time what they are, I would like us to deliver them first and then talk about it. But certainly what's important is that these savings will be achieved on a sustainable basis going forward. So I think that is what we can actually capitalize from. On the SAP Project, there is a lot of front end loading that is being done at this stage. So there are once-off costs that are incurred, but the biggest part of the cost will still come in the future. And a large part of that will actually be capitalized and amortized over an appropriate period of time. But I think quite importantly is that we are driving for standardization and consolidation in the group, so that we can optimize on costs and the number of heads in the future. So that's actually quite important. I think clearly what I also spoke about is the increased electricity generation and certainly that is going to help us contain costs in future. But other strategies in the group is also and stability, which ties in not only from an operational perspective in producing more volumes, but certainly it reduces the need for doing this extraordinary maintenance and we saw the impact of that on costs in the past period. And it will also reduce the need for further imported electricity into the group. So I think you can see that sort of double impact coming through. And certainly we are very tough contract negotiators and certainly as we renegotiate contracts that expire, we certainly look at containing costs from that perspective as well. So hopefully it gives you a bit of color around what initiatives we’re taking to reduce costs in the group.
Operator: We will take the next question from Campbell Parry of Investec Securities. Please go ahead.
Campbell Parry - Investec Securities: Just wanted to go back to Canada a little bit and talk about, you know you previously provided some guidance for us in terms of your production or gross production in the Montney play and I just wondered whether you might do that again for us for the calendar year or the fiscal year, whichever you like on the basis of Talisman shale [back] rig program there? And then also just, Andre is in the room and Andre, I wonder if you can just quickly talk about the O&S business and specifically the Lake Charles cracker versus the surfactants business, how are the two performing and how has that profitability in Lake Charles being impacted with the gas price?
David Constable: We will start in Canada where I think our, in our last guidance the CFO letter was guiding 75 million to 80 million [stuffs] per day of rate there in Canada and I think we are running at 95, we were running at 95 million stuffs per day at the end of the year. So up above our guidance, Campbell and I think you heard in my talk that we had a peak rate of 107 million stuffs on the 27th December, but Giullean do you want to add anything to that?
Giullean Strauss: No. David, just to confirm that we got, I was surprised to the upside for the last month. So things were looking better, but obviously in line with low gas prices we are also curtailing production for the new year.
Campbell Parry - Investec Securities: So this number is for the gross production or net?
Giullean Strauss: The 6.7 David quoted were net to Sasol, but the discussed, but they were gross for the field.
David Constable: And then Campbell, on your O&S business, Lake Charles cracker, Andre please?
André De Ruyter:
Operator: We will take our next question from Alex Comer from JPMorgan. Please go ahead.
Alex Comer - JPMorgan: Yes, a couple of questions. Just on the chemicals businesses, the (inaudible) CFO letter, when you were asked how things were going at that time, the comments were that chemicals were still roughly 30% of profits and specifically the O&S business was making double-digit margins. Now clearly you know the profits have come down to 21% and O&S is around 8.5%. So the inference would have been there was a complete collapse in December. So, in light of that, I just wonder you know how are you doing in terms of the chemicals businesses at this present moment in time, in terms of performance? And then my second question relates to Canada. I mean the CapEx I think was something like ZAR540 million in the first half. Now as far as I can be certain, it doesn't seem to be able to have been entirely spent on wells. So I wonder how much of that was kind of infrastructure of CapEx. And also could I just confirm that you are depreciating all of the CapEx at the moment, despite the fact that you only own 50% of the assets over there?
David Constable: Okay, we'll start with the chemicals performance. Andre, if you could please, thanks.
André De Ruyter: Yeah, the chemicals divisions had a tough December. I think that was an industry-wide phenomenon and a couple of businesses demand indeed suffered a very precipitous decline during the month. What we saw in January was a slight recovery in demand inching upwards, however, prices are still down and again oil related feedstocks are up. So margin squeeze definitely puts our profits under pressure. What are we doing about it, is we are obviously containing our cash fixed cost as much we can. We are continuing with our planning and optimization initiatives to make sure that where we have multiple outlets for our molecules, that we place them in that part of the business that yields the base total gross margin for us and I've already referenced the marketing excellence initiative that we've launched that is starting to pay dividends, particularly in terms of ensuring that we get the best overall net back for our business. In addition to that, we are obviously keeping a very tight handle on our inventories to make sure that, should there be any further fresh shocks that any stock effects will be limited as much as possible.
David Constable: Thanks, Andre. Canada and depreciation. Giullean, do you want to take that one?
Giullean Strauss: Yes, Alex, fuel development; roughly 70% of the total capital that we spent, the rest relates to your various source of infrastructure from the gas processing facilities to pipelines etcetera. You are also right, we are also depreciating the carry portion that we pay for Talisman and at this stage the depreciation accounts for more than about 75% of the total cost of Canada.
Alex Comer - JPMorgan: Okay. Can I just ask one further question, just in terms of your CapEx estimates, I think it says in fact that there is sort of 600 million signed off for this calendar year for Canada. Do you still kind of standby that, because that does seem to be slightly higher, well actually, materially higher than what Talisman have indicated and given the pull back in drilling, is that still a relevant number for the 2012 calendar year?
Giullean Strauss: Yes, for the calendar year the parties have both agreed to the development plan and that is the agreement that we have, this is approved by ourselves and by them. But obviously as the year develops, we will take a close look to the market but that is the approved budget.
Operator: We will take our next question from Tassin Meyer from Citigroup. Please go ahead.
Tassin Meyer - Citigroup: Just two questions. The first one is, if you look at the announcement or the indication in the numbers is that you have taken an additional stake in the Uzbekistan GTL plant. Can you just maybe give us some rationale behind that? Then secondly, could you just take me through what's included in your cash fixed cost number and then also try and explain the 22% increase in cash cost at Secunda. That does seem a little high. Could you give me an indication of what that's expected to be in the second half where there are no obviously [staff expense] that we haven’t experienced yet, no strikes etcetera expected, so your cash and unit costs at Secunda and then just the Uzbekistan GTL stake increase?
David Constable: Additional stake in Uzbekistan GTL. Giullean?
Giullean Strauss: Yes, after the feasibility study was completed, Tassin, as Petronas indicated that going forward they wanted to reduce their shareholding. At that stage we were a third each and after discussions with ourselves and our Uzbek partners, we agreed that we will increase our shareholding to 44.5. So did Uzbek Neftegas, and they are now at 11% and we're quite satisfied with the arrangement.
David Constable: Thanks Giullean. Then on cash fixed cost, the 22% at Secunda, a large part of that during the feedstock cost to mining, Christine?
Christine Ramon: Yes. it's actually the cash unit cost that increased by 22%. So clearly that is being driven by the higher feedstock cost, but as part of that 8% of that is actually internal because the upside one would actually see in mining due to the transfer pricing. The other cash costs is about 7%, relates to labor and routine maintenance and utility, and 5.2% of the cash unit cost has been attributable to instability. So, the higher maintenance is as a result of these unforeseen incidents and the lower volumes had about 1.3% impact on unit costs. In terms of how do we see the cost unpacking for the remainder of the year? I won't talk to the specific on that, but to the point that I mentioned earlier, I think stability in the second half of the year is certainly expected and that will then have a positive impact on the imported electricity in the second half and it will obviate the need for the extraordinary maintenance and certainly that will talk to a positive cash fixed cost on a unit basis.
Operator: We will take our next question from Hootan Yazhari from Bank of America/Merrill Lynch. Please go ahead.
Hootan Yazhari - Bank of America/Merrill Lynch: Good afternoon. Just a couple of questions please. I am going to take you back to Canada. You alluded to the fact that lower gas prices in the United States have been or North America in general have been a key reason as to why the development program there has slowed down. Can you give us an indication as to what level of gas price you would like to see before really sparing on and whether there is further possibilities of delays here or are you looking to develop these assets at any cost, so that you can underpin a GTL project? Then the second question really going back to Uzbekistan. Can you give us an indication on when we should really start to see the CapEx impact coming through the numbers for this one? Thank you.
David Constable: In Canada on the gas prices, Giullean, do you want to give us some color?
Giullean Strauss: We've never been specific on our side from Sasol to quote any numbers on gas prices versus returns, but I'll quote a number given by Talisman. Talisman has stated publicly to achieve a 10% return on Montney, they need a gas price of $4.50 and they calculate their numbers very accurately, so just a point on that. As far as Uzbekistan is concerned, David had indicated 2013 the big year for decision-making. So cash CapEx flows look towards 2013 for that.
Christine Ramon: Yeah, I would just like to phase it out a bit, given that Uzbekistan is already in feed, the feed cost already being we can capitalize. So we already see quite a big uptick in financial year '13 about roughly at ZAR1 billion range in financial year '13 for Uzbekistan CapEx and that clearly when we make the investment decision it's going to tick up quite significantly beyond that.
Operator: We will take our next question from [Nick Denham from BNP Paribas]. Please goes ahead.
Unidentified Analyst: Just one or two questions. Firstly on the mining side, your cost of coal or the revenues that coal received from Synfuels went up by nearly 20%. yet your cost have gone up by, I think somewhere between 10% and 12%. So, my question is, is this related to having Ixia as a shareholders as a result of the shared transaction having [BE] shareholders who want a decent return?
David Constable: Nick is that your only question?
Unidentified Analyst: No I have few more but I would just like to space them out a little bit.
David Constable: Okay. The 20%, the increase in transfer price on mining to take care of the CapEx over there and make sure they get their hurdle rate. Christine, do you want to just give some color on that?
Christine Ramon: Yes I think the point I would like to make is that these discussions or negotiations are done on an on-phase basis and Ixia doesn’t really have an instrument with relation to that and so I am quite comfortable that it is market-related and that’s why you saw those increases coming through and like David has said, it is actually to pay back, to meet the hurdle rates on the capital.
Unidentified Analyst: Just following that it does look uncomfortable that you have share holders that are in very crucial part of your supply chain and separate shareholders with separate objectives. Is it realistic to expect that those shareholders would be brought up in to the Sasol mother-ship as a shareholder to trade?
David Constable: No, not that we can foresee; that’s not going to be happening.
Unidentified Analyst: And my second question was about the Sasol Pipeline upgrade, the Mozambique pipeline upgrade which we see in the accounts. And two years ago there was a discussion about Ressano Garcia, the compressor station being build, and as we understood, to spec; I see in the latest set of accounts, not the 2011 accounts, but the 2012 accounts that there is a lot more money has gone into it and could you explain what is happening there?
David Constable: Comments on the compressor station?
Giullean Strauss: To be honest, I don’t quite understand the question, can you repeat it?
Unidentified Analyst: Okay. So I think the original allocation of capital was about 500 million and it didn’t reappear; we thought the upgrade was complete. In this set of accounts, we see a far large number dedicated towards the pipeline expansion program. It’s now talk about 1.5-ish I think and just wondering have you had a change of scope there or are you taking over responsibility for the investment on behalf of Rompco as well?
Giullean Strauss: I think we are not getting that question, perhaps we can do it offline. We’ll have to move on, perhaps the last question.
Unidentified Analyst: Okay, and maybe I had some more detailed questions, but could you may be open the door for a little bit of philosophical review about Mozambique which we’ve heard so much about in the last 18 months and certainly a lot of activity. And I know that you have been involved on the peripheries of getting gas from that project. But there are other good projects in Australia as well. Could you bring us up to-date about your thinking about how you could or if you would get involved in Mozambique?
David Constable: Giullean, you want to talk about Mozambique and Australia?
Giullean Strauss: Yes, we continue to do exploration as David already indicated we are going to drill offshore Mozambique; we’ve got Block A; we've got Sofala. We are doing seismic on them, so we are going unabated with work to find gas in Mozambique. And so we’ve also recently awarded a block in Australia, so we continue with our activities in acquiring acreage in the Australia area as well.
Unidentified Analyst: The question wasn’t well put then; in Mozambique there has been a big find up in Pemba. Are you in and around that or thinking of considering of acquisitions, direct acquisitions in those types of deposits as opposed to shale gas?
Giullean Strauss: We don’t own any acreage in the Northern part of Mozambique or some part of the Tanzania, but definitely it’s definitely in our radar screen and we are in discussions with gas owners there about potential cooperation. But at this stage, there is nothing concrete.
Operator: We’ll now take our final question from Nishal Ramloutan from UBS. Please go ahead.
Nishal Ramloutan - UBS: Can you talk on the reduced demand for wax and may be just how this differs from your assumptions with respect to the wax expansion that you are doing in Sasolburg; I mean that was the one. And then the other one is, can you just talk a bit more about the production CapEx that you spoke about, you mentioned that you cut-back with regards to the market demand being softer on which sort of areas; were those more in Chemicals and more in international chemicals; and you did allude to it as well. I see you say that imports of electricity will increase, can we allude from that that we have problems with the gas turbines at Synfuels?
David Constable: Well, as far as the wax price is concerned, we are quite comfortable with the markets that we will be seeing as that project goes to beneficial operation in the middle of 2013 and in fact we are looking to expand it further in Phase II by 2015. So we’re very comfortable with the economics on that plant; we’re very excited about bringing that plant on-line based on the markets; the markets that we see for the product. The other question, did you get the last one on the gas….?
Christine Ramon: I think the other question related to market demand and if it was in the international chemical space and the answer is, yes.
Nishal Ramloutan - UBS: With respect to?
Christine Ramon: No, no, international chemical, broadly speaking.
David Constable: Broadly speaking, Chemicals we expect to come back not this financial year, but certainly by the end of FY12 and into financial year ’13. We believe Chemicals will strengthen for us. So it is a bit of a softening here that we see and due to some decreased demand certainly out of China, but further down the road calendar year ‘13 specifically, we see Chemicals coming back for us. And there was one more question on, I didn’t hear on gas turbines, and could you repeat the question on the gas turbines, please?
Nishal Ramloutan - UBS: Well, as you mentioned that there was an increase of electricity imports at Secunda and I am just enquiring whether there are problems with the gas turbines in Synfuels?
David Constable: Do you want to talk about it, Bernard?
Bernard Klingenberg: Yes, it’s Bernard. The increase in electricity was a consequence of boiler maintenance, the boiler maintenance program. The two gas turbines in fact the generator turbines have run quite well in the last and so it wasn't a consequence of the turbines, no.
David Constable: Thank you. And for those of you, a lot of thanks for your interest in Sasol and we look forward, and Christine and I look forward to seeing you as many of you as possible in the coming weeks on the Investor Road Show. So thanks very much.
Operator: That would conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.